Operator: Good day and welcome to the Criteo's Q2 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Edouard Lassalle, Head of IR. Please go ahead, sir.
Edouard Lassalle: Thank you very much. Good morning and good afternoon to all of you and welcome to Criteo's conference call on our financial results for the second quarter ended June 30, 2015. The speakers on our call today are JB Rudelle, Co-Founder and CEO, and Benoit Fouilland Chief Financial Officer. After our prepared remarks, Eric Eichmann, President and Chief Operating Officer will participate in the Q&A session. Please note that the earnings release issued before the opening of the US market today along with a live webcast of our call are both available on our Investor Relations website at ir.criteo.com. A replay of the webcast will also be available later today on our Investor Relations website. As usual, before we begin discussing our earnings, I'd like to remind you that some of our discussions today will contain forward-looking statements. These may include projected financial results, our operating metrics, business strategies, anticipated future products and services, anticipated investment and expansion plans, anticipated market demand or opportunities and other forward-looking statements. As always these statements are subject to risks, uncertainties and assumptions. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements, in addition reported results should not be considered as an indication of future performance. Also I’d like to remind you that we will discuss non-IFRS measures of our performance during the course of this call. Definition of such metrics and the reconciliation to the most directly comparable IFRS financial measures are provided in the earnings press release and accompanying financial tables issued earlier today. Last, unless otherwise stated all gross comparisons made in the course of this call are against the same period in the prior year. With this, let me now turn the call over to JB, Criteo’s Chairman, Co-founder and Chief Executive Officer. JB, the line is yours.
JB Rudelle: Thank you Ed. I am very pleased to announce yet another strong quarter. As a matter of fact for the seventh quarter in a row, we have exceeded the high end of our guidance on both the revenue ex-TAC and adjusted EBITDA. In Q2 2015, our revenue ex-TAC increased 52% at constant currency to EUR110 million while adjusted EBITDA grew 60% at constant currency to EUR22 million. This quarter, we continue to execute consistently with our growth plans. Our performance was mainly driven by three factors. First, the continued rollout of our latest technology across screen. Second, the real-time high number of a net client addition. Third, the further expansion of our publisher [ph]. Starting with the first driver, technology. To increase the value we deliver to our clients we continue to rollout new performance improvements across all screens. One performance improvement we are particularly excited about is our new generation creative platform. As you know we have always had advanced creative technology that builds ad in real-time for each user. However, our latest release takes this to a whole new level. We are now able to optimize each individual creative components in all of our apps such as pumps, color, or size and position of pictures and adjust them in almost infinite number of combination. This new capability is particularly promising for mobile in native ads. In June already 11% of our revenue ex-TAC was generated on this upgraded creative platform. We continue - it is also with the traction of our multi-screen solutions which allows us to engage in convert users immensely across all devices, browsers and apps. In Q2 85% of our clients were using a multi-screen solution compared with 69% in the prior year guide. At the same time we further strengthened our in-app solution and the mobile measurement program that we announced last quarter. In Q2 we certified five new mobile apps partners and started to launch in-app campaigns through those partnerships. As you know, the more our clients benefit from a technology improvements, the more sales they generate. And as a result they tend to increase their spend with us. So clients that rely in both Q2 last year and Q3 this year generated 25% more revenue ex-TAC at constant currency compared to the prior year period. Now moving to the second growth driver. The second growth driver was net client addition. In Q2 we set an all-time high by adding over 730 net clients while maintaining our 90% risk rate. We ended the quarter with more than 8,500 clients. We added large clients in all regions and a strong growth in the mid-market segment continue to outpace overall growth. The direct result of our investments in this area. We believe that our penetration of mid-market client is still in the single-digits and we plan to further invest there. The third growth driver was our continued momentum in our published relationship. In Q2, we grew a direct relationships to almost 11,000 publishers and increase of 42% compared with Q2 last year. In Q2, we also made further progress on our dynamic product and partnership with Facebook. Our solution now allow the clients to seamlessly utilize Facebook new dynamic product ads to support the advertising on Facebook mobile app inventory. We continue to work closely with Facebook to enhance the performance of this solution and intend to further roll it out to a large number of our clients in the second half of this year. While talking about inventory I’d like to say a few words about ad blocking, the subject that receive questions about recently. Overall we do not view this as a huge threat to the industry. Generally speaking users are happy to access free concern in exchange for advertising. However users also have clearly expressed this, their pleasure within - non-relevant app to pop-ups and non-skipable pre-roll videos. And indeed industry studies and consumer feedbacks confirm again and again then poor user experience is by far of the main virtualization for ad blocking. As you know our onsite business at Criteo is focused on delivering non-relevant ads to generate genuine user engagement. We're therefore actively working with others in the industry to further develop user-friendly advertising experiences. Moving now to our performance by region. We are once again pleased with our strong execution across all geos in line with our plan. In Q2 revenue ex-TAC at constant currency grew 81% in the Americas, 37% in EMEA and 53% in Asia Pacific. Mid-market growth momentum has been particularly strong especially in the U.S. Now, let me switch to the future. During our investor day this last June we shared three big trends that shaping our roadmap in our product variety. First, consumer journey is becoming more and more measurable in time and I'll come back to that. Secondly, mobile commerce is absolutely booming. Third, cross-device usage is now expanding very rapidly. Let me explain how our technology platform is benefiting from these three major trends. Talking first about the consumer journey. Overall more and more what we do as consumers is becoming digital and digital means measurable? There is growing ability to precisely measure the impact of ad spent at the granularity of each user as a profound impact on the overall advertising ecosystem. Probably the most visible impact is that all marketing activities are increasingly becoming focused on performance and therefore technology driven. In other words as ad spend becomes more measurable, clients tend to optimize array and performance and increasingly make the decisions based on the strength of technology. As I'm sure you understand this new world suits as particularly well. Technology driven performance is at the core of everything we do as you know. We believe the continued rapid growth in the direct results is the direct results is laser focused on technology that generates measurable sales for our clients. And we are trying this philosophy to a growing number of strategic marketing channels for our clients. Our multi-channel marketing solution already covers display, native, social and email. And we're also exploring additional channels, in particular search engine marketing. For all of these channels, our approach is focused on performance and relies heavily on cutting edge technology. We truly believe that our ability to engage and convert users to across all of these channels will make a solution even more valuable for our clients. The second big trend I'd like to discuss and share with you guys is mobile commerce. Mobile commerce is growing very quickly and is a huge opportunity. We recently released our Q2 state of mobile commerce reports. In this report we show that advertisers who make the mobile app a priority are generating conversion rates on apps that are three times as high as on mobile web and even higher than on the desktop. Wow! Thanks to a series of unique technologies that rely on a scale across clients. Our solution happens to be particularly strong on mobile. This is illustrated by our win rate on mobile industry that are more than twice as high as on desktop on a one very large U.S. ad exchange. And this is very promising. As our clients increasingly focused on mobile commerce, mobile could become a source of increasing competitive advantage for us. The mobile publisher advertising landscape is also quickly transforming into a more ad friendly experiment. In this context we're exciting that our plans to roll out a series of new mobile specific rated capabilities both in apps and in the browser. Moving to our third major trend, cross-device. Our latest state of mobile commerce to report also shows that 40% of U.S. e-commerce transactions now involved at least two devices prior to the purchase. This is a huge number and makes the cross-device solution absolutely critical for any digital marketing company. And today I'm excited to share that over 60% of our advertisers now participate in a new universal match cross-device initiative by contributing data points that enabled the exact match of users. Furthermore our solution nicely complement the cross-device solutions offered by partners like Google and Facebook. Given the extensive footprint both on the client and the publisher side we believe our universal cross-device solution could become a major asset for the company. Beyond all of those three big trends that are shaping product roadmap we are also expanding our global presence we continue in our major markets like the U.S. and in our early stage markets such as Southeast Asia, China, Russia and Latin America. We also have recently open legal entities in three Greenfield markets Dubai, Turkey and Canada. Looking forward we are committed to a vision of becoming the preferred partner of our clients or performance marketing across all channels and strengths. In summary I would like to say our investment in technology are paying off and our Q2 continue to reflect our consistent execution on our growth plan. Overall we are confident 2015 will be another exciting year for Criteo. We look forward to updating you on our growth plans as we progress through the year. And with that let me turn the call over to Benoit, our CFO.
Benoit Fouilland: Thank you, JB. I am equally pleased about another strong quarter. As usual I will walk you through our quarterly financial performance as well as our guidance for the third quarter and fiscal year 2015. I will then open up the call to your questions. I will start with our revenue, in Q2 our revenue grew 64% or 51% at constant currency to EUR271 million as you know we use revenue ex-TAC as a key financial metric to monitor our business performance, revenue ex-TAC grew 65% or 52% at constant currency to EUR110 million. Our revenue ex-TAC margin was 40.8% in line with prior quarters. Looking at our regional performance in the second quarter, I’ll start with Americas which continues to outperform all other region. In Q2 revenue ex-TAC grew 114% to EUR40 million. At constant currency the Americas grew 81% compared with 78% in Q2 last year. Revenue ex-TAC in Europe, Middle East and Africa grew 38% to EUR49 million, at constant currency EMEA grew 37% which represented a slight acceleration from 34% in Q1. In Asia Pacific we continue to grow rapidly with Q2 revenue ex-TAC growing 66% to EUR22 million or 53% at constant currency. Changes in foreign exchange rates continued to be a significant tailwind in the second quarter and bolstered our revenue ex-TAC reported growth over 12 percentage points. The US dollar contributed to three quarters of this tailwind. Moving to the profitability of our operations, Q2 adjusted EBITDA grew 64% or 60% at constant currency to EUR22 million. Our growth in adjusted EBITDA was primarily driven by our revenue ex-TAC performance. As indicated on our last earning calls, we anticipated a EUR10 million sequential increase expenses in the second quarter. In addition, we incurred slightly higher than expected operating expenses primarily weighted cost in sales and operation. Looking at our expenses for the quarter, our other cost of revenue primarily made up of costing on data cost increased 55% to EUR13 million in Q2, excluding CapEx amortization other cost of revenue grew 43% to EUR7 million in Q2 driven by investments in servers and hosting equipment over the period. Our operating expenses increased 68% or 58% at constant currency to EUR90 million in Q2. As we further scale the organization to support our growing business. In particular, we continue to expand our R&D on several operations teams over the period. On a non-IFRS basis, operating expenses grew 67% or 57% at constant currency to EUR82 million in the second quarter. As in prior quarters headcount related expenses in Q2 represented over 75% of our operating expenses. We ended up the second quarter with total headcount of 1638 and increase of 47% compared with Q2 last year. Overall, we are in line with our 2015 earning plan. Looking now at our operating expenses by function, non-IFRS research and development expenses grew 66% to EUR15 million in Q2. This continued to be largely driven by headcount which grew 42% to 320 employees at the end of June. For the remainder of 2015 we planned to further invest in R&D. Moving to sales and operation. Non-IFRS operating expense in Q2 increased 72% to EUR50 million. This was also largely driven by 48% growth in headcount to 1037 employees at the end of the quarter, in particular in our mid-market organization. In the second half, we planned to continue to scale our mid-market centers and to start the Tier I teams new geographies including in our new Dubai, Istanbul and Toronto offices. In G&A, non-IFRS operating expenses increased 53% to EUR17 million in Q2 while headcount grew 52% to 281 at the end of June. This continued also to be driven by the ramp up in our finance and HR team as well as the strengthening of our IT and facility infrastructures. As a percentage of revenue, non-IFRS G&A expenses decreased 0.4 percentage points to 6.2% in Q2 to support our anticipated growth and gearing up to become the US domestic fighter in 2016 we plan to continue to scale our G&A function in the second half of 2015. Overall I want to reiterate our plans to continue to invest in the second half of 2015. Moving on to our cash generation. Our cash flow from operating activities remains flat at EUR11 million in Q2 compared with the prior year period. As explained during our first quarter earnings call the change in working capital was exceptionally positive in Q1. This has partially reverse in the second quarter due to a catch up in trade payables unless favorable working capital seasonality as always in Q2. Separately, our income tax paid increased significantly compared with both the prior quarter on Q2 last year. For the first half, cash flow from operating activities grew 110% compared with H1 2014 to EUR47 million. Our CapEx for the quarter increased 58% to EUR17 million primarily as a result of our investment in data center equipment. At the end of Q2, we opened a new add cluster close to Paris which more than doubled our iPerformance computing capacity. In line with our plans, we expect our CapEx program to grow to approximately 6% of further new in the full year 2015 from less than 5% in the full year 2014. As indicated in the past, we plan to continue to build Austin capacity in all regions including in Mainland China onto significantly increase our redundancy capacity to strengthen our global infrastructure. We also continue to ramp up our investment in internal IT on facilities in all region. Our free cash flow decreased EUR6 million to negative EUR6 million in Q2. This is a result of the reversal in change in working capital that I just explained, combined with an accelerated CapEx program in the second quarter. For the first half, however, free cash flow increased 133% to over EUR19 million. Over the last 12 months ending June 30, the conversion of adjusted EBIDTA into free cash flow remained very high at 62% on reflects the robustness on scalability of our financial model. Lastly, our total cash on cash equivalent reached 200 on EUR87 million at the end of June. EUR3 million decreased compared with December 31, 2014. This is primarily the result of our positive free cash flow generation on proceed from capital increase over the six months period which was more than offset by the cash consideration paid for the acquisition of Datapot in February. The change in other non-current financial assets on the negative impact of foreign exchange on our cash position. I will now wrap up with our guidance. The following forward-looking statements reflect our expectation as of today August 4, 2015. For the third quarter 2015, we expect revenue ex-TAC to be between EUR116 million and EUR118 million. We expect adjusted EBITDA for the third quarter 2015 to be between EUR21 million on EUR23 million. For the fiscal year 2015, we now expect revenue ex-TAC to be between EUR470 million and EUR475 million. At the midpoint this represents a EUR15.5 million increase on our prior guidance and would imply reported growth of 66% compared with full year 2014 or 46% at constant currency. Also for fiscal year 2015, we maintained our current outlook for adjusted EBITDA on expected to be between EUR120 million and EUR127 million. This assumed the continued re-investment of our incremental revenue ex-TAC into strategic initiative to accelerate our growth. I would like to clarify one point about the timing of our adjusted EBIDTA generation in the second half of the year. Our full year guidance assumed the similar seasonality for adjusted EBITDA at last year when over 40% of our adjusted EBITDA was generated in the fourth quarter. Our Q3 on fiscal 2015 guidance assumed the following exchange rate for our main currencies. The Euro US dollar of 1/10, the Euro Japanese Yen of 1/35, the Euro British Pound of 0/70, on Euro Brazilian Rial of 3.5. This guidance also assumed no additional acquisition are completed during the third quarter of fiscal year 2015. Through increased investment we continue to manage our company primarily to maximize our growth potential and are confident in the increasing operating leverage of our business model. I look forward to updating you next quarter on our growth story. With that, I will now turn back the call to the operator to take your questions.
Operator: [Operator Instructions] We will now take our first question from Debra Schwartz from Goldman Sachs. Please go ahead.
Debs Schwartz: Great, thanks and congrats on the quarter. I have two questions, first your client growth was strong in the quarter. In terms of the net adds that you've added in Q2, can you just breakdown how many of them were from Tier I clients versus middle-market. And then secondly it sounds like Facebook dynamic product ad to then operationalize. Can you give us a sense on what you're seeing from performance and do you have access to enough supply to meet your demand or are there are constraints? Thanks.
Benoit Fouilland: Thank you for the two questions. We partially we don't breakdown net client additions between Tier I in the next half. What we seen are during our call is that MM, mid-markets - market has been particularly strong this quarter both in terms of contribution to our growth and in terms of in our contributions to our net client additions which is kind of intuitive in long run that with the growing scale of our mid-market organization we will see more and more new clients coming from the mid-market now. When it comes to Facebook, I'm not sure I understand your question regarding access to inventory. Could you perhaps clarify exactly what you mean?
Debs Schwartz: Yeah first I'm just curious what you're seeing from a performance standpoint from that inventory. And then just wondering if there are frequency cap or if they're putting any constraints on the amount of inventory that you can access.
Benoit Fouilland: The frequency caps is driven by performance. So we adjust and this is not particularly to Facebook and it’s for any target share we working with. We have a frequency caps that to make it clearly adjusted to ensure we don't over expose users. As you know business model is to be paid only if user on major conveyor. So we are no intention to show too many impressions to a given user. So this is something we've been embedding into our engine and very early into the - equity awareness working with same way for any source of publisher. So now there is no specific constraints on Facebook in the direct. Eric, do you want to add anything on those two aspects.
Eric Eichmann: Yeah Debra that's a great question as you guys know we've been working with Facebook to make sure our solution works well with DPA and I would say we've made great progress but we're still only in the deployment of science onto the solution I think we're at a 200 clients and we're early in doing that. So the general feedback is quite positive. But I think it's too early to have a good sense for the uplift. And just as JB said we because it is early we have yet to find constraints from a sort of Facebook perspective that limit our ability to drive performance those clients. I think we'll know more in the next two quarters we've always said that we expected by the second half of the year to have a much better view on Facebook EPA. And I think we're certainly on plan to do that.
Debs Schwartz: Great, thank you.
Operator: We will now take our next question from Charles Bedouelle from Exane BNP. Please go ahead.
Charles Bedouelle: Good morning all and again congrats for the very strong results. Two questions if I may one which is actually related to Facebook and another one on the cost by measurement. On Facebook I mean there has been announcement by Facebook of changes in the web ad they - in their performance is more than enough. Just wanted to have your view on where does it change from you, where does it bring more advertisers closer to the performance as you describe it or does it bringing more competition to just a view on this change. And then another question more specific on the cross-device as you talked about the advertisers embracing and participating in cross-device. Can you give us an idea, similar idea of what's the publishers' involvement in cross-device in terms of participation? And also can you give us even a rough idea of how much of your addressable consumer base is to that covered by across device measurement. Thank you.
JB Rudelle: Thank you very much. The first of peak is about measurements and specifically on Facebook and measurement is always a very complex issue in the advertising industry and lot of players are trying to improve things and Facebook is investing a lot in this area. And for us this is very exciting and there is one particular thing where I think a lot of add-ons are struggling with is in a way it's a good take away from your second question is regarding cross-device matching because we see it as we explain we see a lot of transaction invoking in multiple devices and where the click and the conversion are not necessarily on the same device and our clients are internally net well equipped to track this. And Facebook among others is developing a very interesting solution to better measure those cross-device events and we see for us is this very exciting because if our clients can measure better that we learn - that will put more value into our service because today there is a number, there is a fraction of the value we deliver to them that they don't measure. So they don't value. So we believe it's mid-term an opportunity for our clients as those solutions of Facebook and others are getting more and more mature for our clients to put more value into a service. So when it comes to cross-device, the idea is to work with the whole market. That's why we call it universal match and as I share earlier in the call we are very excited. I think it's the first time we are sharing this number and for us it's a pretty key metric that we are tracking that over 60% of our advertisers are not participating in this program and our contributing to this program and this is absolutely critical because the whole idea or if you want to have a large footprint in cross-device. Of course matter if you can get a last footprint is to have the critical size in terms of partner. And as you know one of the catalyst of Criteo is that we have a very large base of clients and it's a fast growing base and knowing that already 60% of our client base. So we are talking about thousands of partners already are participating into this program. It's very exciting. They tend to have more exact match data points than on the publisher side, but obviously there are some publishers that have also exact match and we are working in parallel with publishers on the same type of program.
Charles Bedouelle: Thank you. That's great.
Operator: We will now take our next question from Ross Sandler from Deutsche Bank. Please go ahead.
Ross Sandler: Great. I had two questions. First for Benoit and for JB. Benoit, can you talk about the cadence of EBITDA guidance for 3Q and for 2015 overall? Your margins of EBITDA to net revenue, I have been going up every quarter some of the IPO and I think you are guiding to like over 600 basis points there is margin compression in the third quarter. So is that just conservatism or is there something else that we should be aware of it whether it's driving out that compression and then I guess stepping back as the business mix shifts towards mid-market, should margins be going up not down? So if you can clarify that, that'd be great. And then JB just a quick follow-up on the topic of ad blockers. So from what we understand this is probably only going to be isolated to adds a shop on Safari browsers within iOS devices. So how much of curtailed inventory comes from that channel and if that were to get cut back some amount of users, can you find other ways to target those users natively, can you just explain that please? Thank you.
Benoit Fouilland: Okay, thanks Ross. With respect to the adjusted EBITDA, the pace for Q3 and Q4, I mean clearly the indication I gave in the script is that Q4 is expected to be consistently with last year around just over 40% of the yearly EBITDA is expected in Q4 and that is very consistent as a back end. With respect to Q3 I mean we are in a continued investment as described in terms of continuous hiring in certain operation, in mid-market as we ramp up our teams globally as well as in new geography for the SLO sales and operations headcount. And we are also continuing to invest at a rapid pace in R&D. This is what is still reflected in the Q3 guidance and Q4 guidance implied guidance. With respect to your second question, can you just clarify your second question on mid-market I'm not sure that I understood it clearly.
Ross Sandler: Just as the business shifts as mid-market grows faster than the enterprise business. Shouldn't get margins be going up is that a more profitable channel.
Benoit Fouilland: Now what we've said always on this channel is that it's a channel that once it reach critical mass that should be at the same level of profitability than Tier I. I think we are still in the fast investment mode as we speak if you look at the type of hiring that we are in MMS. So we expect to other MMS all the time to get to the same level if not slightly better than Tier I of profitability margin. With respect to the rest of the question.
JB Rudelle: Yes. So ad blockers just to give you a bit more color on this specifically on your question. So first thing concern is that the majority of our mobile business is derived from Android devices. That really is meaningful but it's really under eight. And Apple mobile device is probably in the low-teens in terms of contribution to our business. This said ad blocker has been supported by on this total Safari for years and so far we haven't seen any impact. So we have to take this into - and second data point important is that this ad blocking feature is not default thing about iOS of Safari, it would need but not to be download which would require Apple approval on this. So I think people have to be careful although in cap rating in some announcement that you can have read in the press.
Ross Sandler: Good. Thank you.
Operator: We will now take our next question from Brian Pitz from Jefferies. Please go ahead.
Brian Pitz: Thanks. Two questions. JB, in the prepared remarks I believe you said you're looking at new opportunities like search engine marketing. Just hoping for a little more color on this opportunity perhaps timeline. Also on cross-device, why is it so hard for your competitors? You say it's a potential major aspect for the company and the nice complement to Facebook. But just hoping for a bit more color there. And Benoit just quickly on CapEx increasing to, I think you said 6% from 4% of revenue. Just hoping for a little more background on that investment basically where you guys going to be spending that. Thanks.
JB Rudelle: Thank you. So first on SCM, so at this stage, we are doing some test with selected clients. The one thing I can say at this stage is that I would clarify the first result of those tests as encouraging. Still we are not in the guidance you have it doesn't include any significant SCM numbers. So there are still a lot of work before this can become a mainstream product that the first test are pointing we think into the right direction. In cross-device, Eric you want to add some color on this why this is so strategic for us.
Eric Eichmann: Absolutely. So I think you heard JB talked a little bit about the space of mobile commerce report that we did and we're not doing every quarter and one of the significant findings is that in the U.S. alone, 40% of the transactions that are happening or happening across devices that means that a user will have been an one device and then completed the transaction in another one. And this is if you talk to marketers out there given the proliferation of devices and the time that people are spending on their mobile phones and connected online this is becoming one of the biggest issues or challenges that they have. So if you are able to match cross-device, I think it's a significant asset, not just to drive performance but also to understand the growth that consumer are taking. So from our perspective, why do we think it's an asset that is quite unique is that we do have 8500 plus clients that are willing to work with us and they have a consumer base that connects to several devices for them and there is not many companies that have that type of installed base of clients that are willing to share that information to build a cross-device database. So we think we're in a unique situation and as JB mentioned this is also something that combines very well with efforts from Google and Facebook in terms of their cross-device environments where we compliment that quite well. And in the future again this is something that's going to become more prevalent as people continue to have cross-device transactions.
Benoit Fouilland: Okay. Just, I think you had also the clarification question on CapEx. Just to be very clear this is exactly in line with what we've said all along for 2015, is that our CapEx for the full year expected to be around 6% of revenues why traditionally they had been on average closer to 5%, why is that is primarily because we have significant investments in data center equipment’s and mainly we have equipment in redundancy capacity one of investment we've made and we talked about during the call on in the added cluster is one example of this. We invested in redundancy of - cluster closed to Paris which is a redundancy from the primary cluster that we had. And we have significant investments in redundancy this year. We also add investment in China that I think we've already discussed that we're in the process in affording out equipment in data center in Shanghai. And we add also significant investment in new buildings and facilities the main reason but again this is the same outlook with respect to expect to CapEx versus total revenues and what we've expressed in prior quarter, for the full year.
Brian Pitz: Great. Thanks for the clarification.
Operator: We will now take our next question from Douglas Anmuth from J. P. Morgan. Please go ahead.
Douglas Anmuth: Great. Thanks for taking my question. Two things I wanted to ask. First just on APAC growth, can you just talk about the key initiatives there, in terms of driving that business faster and talk a little bit more about China as well and you just touched on the data center build out there, Benoit? And then also second I may have missed it but the bidding engine rollout how broadly now is most recent technology and basket size in particular rolled out across the advertiser base? Thanks.
Benoit Fouilland: Thank you very much. On APAC Eric I know you've been travelling there recently so could you give us more color on the growth engines in APAC?
Eric Eichmann: So, a couple of things in APAC first starting with Japan which is still our largest contributor in APAC. It's a geography that's growing quite well for us. It's still the major contributor to the growth. And what we're seeing there is that it takes a little bit longer to implement the new enhancements to our engine and to our technology for we're seeing a rapid catch-up in that direction. So that should be a good driver of growth. And then there are new geographies that are quite exciting. We talked a little bit about South East Asia there we're seeing phenomenal growth granted from small numbers but if you include India in that we have about 1.6 billion in that area of the world. So there's lots of exciting growth opportunities not just because we haven't yet deployed and sort of gathered all the clients but the inherent growth that is happening on the internet and e-commerce is a big wave that we will be riding. And so we're very excited about that and then China as a new geography we're investing quite a bit. So we already have a team that is more than 20 folks and then one of the key things that we need to do in China to drive more growth is to have a server data center within China something that we expect to complete in the second half of the year in the Shanghai area. We've been serving today from Hong Kong that has created some performance issues, so obviously since we're all about performance once we have the China data center, we think that's going to change dramatically and in China too there is a significant potential for an export business. The Alibaba's of the world are in steady in expanding their business outside of China and obviously we have a tremendously network that's global, that's ready to go for these companies to work with us and I would say that the last thing on Asia as we have yet to fully set up or mid-market operation that something that we're now actively doing with a center in Tokyo. One in Singapore and one to start later on in China and so I think that's also going to be a significant driver today that's obviously quite small.
Benoit Fouilland: So to answer your second question - engine. I think by the end of Q2 we were at 25% rollout. Just to put this in prospective we don't expect this version to rollout any time soon to 100% of our clients because for some clients optimizing on gross margin sector doesn't make sense. It makes a lot of sense for some clients where we've seen very big improvements better as we explain during our last calls. It depends a lot of on the structure of the capability of products of our clients. This said something we share, I think it's for the first time this quarter is this new gen creative platform which is also an engine improvements than of a different flavor which is profuse on the look and feel of the banners that has a surprisingly positive impact on both future rate and plus the conversion rate. So this is something we are aggressively rolling out across our client base.
Douglas Anmuth: Thank you.
Operator: We will now take our next question from Ralph Schackart from William Blair. Please go ahead.
Ralph Schackart: Good morning. I have two questions please. First on EMEA and more mature market. So I'm just curious which driving the recent year-over-year acceleration that you saw in the quarter. Any color on that? And then secondly with the announcement of the Instagram opening up to the third party partners any early reason in inventory and would you expect to be or participating in that inventory source as well? Thanks.
JB Rudelle: Thank you. On EMEA Eric do you want to explain or get some color on this Q2 acceleration?
Eric Eichmann: Yeah, I think the acceleration first of all even though. It's an acceleration which we're happy about. It's not a dramatic acceleration in the sense that it's going from 34% to 37%, there I think the main sort of accelerator for us are two-fold. One is our mid-market growth. We set an up center in Barcelona and we've been hiring frantically to get new people on board and those people get new clients on board and so we've had a record number of clients that we're signed up there and that's across all geographies. So that's a very exciting driving and the second driver that's also a growth driver in comparison to last quarter is obviously we're setting ourselves up in new geographies, like Dubai, like Turkey, like Eastern Europe then our presence is increasing there. So those will be two big ones.
JB Rudelle: So regarding I mean you mention Instagram. So just to make this and more general points. There is still lot of very large inventories that are completely untouched for us, which in a way is very exciting because it give us a lot of additional greenfield opportunity and we know that each time we plugin new inventory. It's highly incremental for our business. So obviously any large tools of inventory that today we are not tapping into. We're actively discussing with the different teams and we'll keep you updated on those. That I think it's a good illustration that they are potentially much more inventory we could grow after and we are - where we have maxed up opportunity to increase our inventory.
Ralph Schackart: Okay, thank you.
Operator: We will now take our next question from Justin Patterson from Raymond James. Please go ahead.
Justin Patterson: Great, thank you very much. First JB, you mentioned measure ability within your prepared remark. There is still a perception amongst some in the advertising -that you need to provide greater granularity that your clients to sustain long-term growth. Yeah, that's 25% same client revenue growth that doesn't appear to be slowing them down at all. Can you help reconcile that? And then secondly Benoit stepping back at that it seems like a lot of this investment around both an OpEx and CapEx is ready to build out the MMS segment expand globally and increase compute capacity. After this round of investment, how should we think about investment going forward, should that keep or back down to prior levels. Thanks.
JB Rudelle: Thanks very much and this would probably be the last question which is I think we getting to the end of the session. So first on measure ability, it absolutely key for our business that is as I've explained in the first part of the call. As soon as you can measure things way we're in business because we can we can invest in technology and show our clients that through technology you can drive more performance. And I think probably the best illustration of this is mobile. For long time, people were saying mobile is very hard and its different way to measure things in ads you don't have cookies. So people were questioning ability to expand our business into mobile. And as matter of fact the first thing we've been doing two years ago when we entered into mobile was to ensure we could measure ROI the same way that we could do it in this. And we've don't have a huge investment in technology to be able to measure not doing the home mobile browser but also in that. And as today a mobile is a key driver of our growth. I think it's probably one of the best illustration that measure ability overall. That's the way to expand our market. And during our investor day we spent a lot of time to trying to side our addressable market addressable opportunity. And then more and more you can see - ROIs who have measurements are getting better and better. The more opportunity there that will be for us down the road and we'll keep you updated on this.
Benoit Fouilland: Yeah so on the investment let me just clarify, I mean the source, what are the main destination rather than the source of investment. Another method is a big area of growth for us in terms of operation it's true. We are ramping up our centers both in Boston in the - for the Americas and now in Europe we've opened - we are going continue through at the end of the year to continue to invest and probably we have a material view on this so that will not continue that will not stop at the end of the year in term of MMS. But I want to restate that our investment doesn't goes only into MMS we are also investing in new geographies in Tier 1. And we are continuing to strengthen our teams in existing geographies where required in the US in particular where we have significant potential from a Tier I standpoint. We've been strengthening the team and with addition of couple of senior resources there. So sales on operation is not only about MMS. And now I want to also remind that we have significant investments in R&D, so we have within the total R&D expense primarily of the Euro and you remember EUR10 million impact of Datapot to the EBITDA for the year. And that goes primarily into R&D to build our future capabilities from an R&D standpoint especially supporting some of the new segments that JB has been talking about. And we are intending to continue to invest in R&D as Irene both in France but also in the US on the West Coast. And finally I wanted also to add that we have the confirmation that we are going to become a domestic issuer and I have mentioned what would be the consequences for us in terms of increased resourcing requirements from the 1st of January 2016. So which means that we are having also investment on the second part of the year to prepare for those increased reporting requirements on transition to US GAAP for the next year. And finally, taking stepping back and taking a longer term perspective, during our Investor Day, we have also gave your perspective on our long-term operating model which remains valid and we see still the same opportunity for operating leverage down to long term in our model. Thank you very much.
JB Rudelle: Thank you very much. Yeah I think that does conclude the program and thanks everyone for attending today. Thank you.
Benoit Fouilland: Thank you.
JB Rudelle: Thank you.
Operator: That will conclude today's conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.